Operator: Good day, and welcome to the Cineplex, Inc. Second Quarter Conference Call. Today's conference is being recorded. And this time, I would like to turn the conference over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead, Ms. Marshall.
Pat Marshall: Good morning. Before beginning the call, we would like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management's beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include, among other things, adverse factors generally encountered in the film exhibition industry, risks associated with national and world events, discovery of undisclosed material liability and general economic conditions. I'd now turn the call over to our President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex Inc's 2016 second-quarter conference call. We are pleased you could join us this morning. I will begin by providing a brief overview of our second-quarter results and a summary of our key accomplishments during the period. Then we will take a look at some of the most anticipated movies to complete the year's film slate. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson, will provide an overview of our financials, and then we will follow with a question-and-answer period. Although our box office revenue was up 3.7% on a year-to-date basis, Cineplex's record second quarter in 2015 was a tough act to follow. We experienced a weaker film slate this quarter, which resulted in decreased attendance and impacted both box office and food service revenue. Results were also impacted during the quarter by start-up costs for our new businesses and the continued development of newly acquired companies, which have not yet realized their optimum margin levels. As a result, adjusted EBITDA decreased $22.5 million compared to the prior-year period. Although attendance was down as a result of the film product, we continued to see success in our premium offerings and media businesses, and we set an all-time quarterly record CPP of $5.74 during the second quarter. Top performing films during the period included Captain America, Civil War, The Jungle Book, Finding Dory, X-Men: Apocalypse, and Batman v Superman: Dawn of Justice, all of which were available in premium movie-going experiences for our guests to enjoy. Although these films performed well, many others did not meet expectations and they could not overcome the strong second quarter 2015 results from The Avengers: Age of Ultron, Jurassic World, and Furious 7, films which were three of the highest grossing movies of all time. As I've previously said, box office revenue will fluctuate due to the film product release from quarter-to-quarter, which is outside our control. However, we continue to focus on what we can control by diversifying the company through related businesses, including media, digital media, digital commerce, amusement gaming, eSports, and alternative programming, as a means of offsetting the variability of our earnings. Gord will share the balance of the quarter results with you in a few moments. Now I'd like to highlight some of our key accomplishments during the second quarter. The expansion of our premium experiences remains a strategic priority for Cineplex. For the second quarter of 2016, 50.4% of our box office revenue came from premium offerings. This is our highest quarterly premium percentage in Cineplex history. During the quarter, we installed D-BOX systems into 18 theatres, which is part of the plan to significantly expand our existing D-BOX footprint by an additional 23 auditoriums. The remaining installations will be complete by year's end. We also announced plans to open a theatre next year in Pickering, Ontario that will feature 12 auditoriums, including four VIP cinemas. As previously mentioned, Cineplex announced a new partnership to add 4DX immersive theatre technology to Cineplex Cinema's Yonge-Dundas and VIP in Toronto in the third quarter of 2016. The new premium offering will give guests the chance to experience the movie in specially designed motion seats with environmental effects like wind, mist, and scent that all work in sync with the action on the big screen. We are proud to offer our theatre guests the most innovative entertainment experiences in the country. Subsequent to quarter-end, we were pleased to announce that we added the Barco Escape experience to Cineplex's growing list of exciting premium offerings. Barco Escape auditoriums are specifically designed and feature two additional side screens creating a panoramic viewing range for guests. We launched three Barco Escape auditoriums at our Scotiabank Theatres in Toronto, Vancouver, and Edmonton this July. Alternative programming for the quarter included strong performances from the Metropolitan Opera: Live in HD series, international film programming, WWE Wrestlemania 32, and encore presentations of the National Theatre Live from London. We also partnered with Maple Leaf Sports and Entertainment to bring the Toronto Raptors NBA playoff game live to select theatres in the greater Toronto area throughout April and May. These events helped raise over $44,000 for the MLSE Foundation to help more kids experience the joy of organized sports. Moving to media, this area of the Business comprised of Cineplex Media and Cineplex Digital Media continued to experience record growth during the quarter. Cineplex Media revenue increased 3.6%, primarily due to new media offerings and continued strength in the automotive category. As part of the naming rights partnership between Scotiabank and Cineplex, we announced the rebranding of two theatres, one in Ottawa and one in Winnipeg, to Scotiabank Theatres. These rebrandings bring the number of Scotiabank Theatres across the circuit to 10. Cineplex Digital Media revenue grew by 43.8% compared to the prior year, largely because of an expanded client base, increased project installation revenue, and network and advertising revenue growth. Also during the quarter, CDM was selected by The Beer Store to help digitize and revamp the shopping experience by reinventing the iconic beer wall. Traditionally a static display of cans and bottles, representing the store's offerings, the wall will be replaced with interactive tablets to better engage customers and streamline operations. Moving on to amusement, gaming, and leisure. We look forward to opening up our first location of The Rec Room in September. With construction almost complete, Edmonton will be the first community to experience Canada's premier social entertainment destination. As previously announced, plans are underway for our first Toronto location, which will be at the historic John Street Roundhouse, and our Calgary location, both of which are expected to open in the first half of 2017. In eSports, WorldGaming hosted the Canadian championships with Street Fighter V, which included online qualifying rounds, along with regional events that culminated in a national final event held at our Scotiabank Theatre Toronto during the quarter. We also announced our next tournament Uncharted 4: A Thief's End, the first team-based Canadian championship offered by Cineplex and WorldGaming. The online qualifying rounds began in the second quarter and we look forward to hosting the national championship in the third quarter of 2016. Finally, our SCENE loyalty program continued to grow its membership, surpassing 7.7 million members during the quarter. Now let's take a look at some of the films we have coming up for late summer and the balance of the year. The third quarter got off to a strong start with films such as The Legend of Tarzan, The Secret Life of Pets, Jason Bourne, and Suicide Squad, which opened this past weekend. This highly anticipated film had the biggest August opening ever, grossing $134 million [ph] at the domestic box office. For the first five weeks of the third quarter, industry box office in Canada is up 5.3%. Opening this weekend, we have the family favorite Pete's Dragon from Disney and Seth Rogen's animated comedy Sausage Party that has got everyone talking. Later this month, we have War Dogs starring Jonah Hill and Miles Teller. In September, we have the Clint Eastwood movie Sully starring Tom Hanks. Bridget Jones's Baby arrives in theatres, continuing the adventures of the British publishing executive as she enters her 40s. The Magnificent Seven will bring us back to the old West. The animated film Storks in 3D provides a glimpse into a day of life of storks. The IMAX film Deepwater Horizon, starring Mark Wahlberg, Kurt Russell, and John Malkovich, comes to theatres on September 30. The fourth quarter kicks off with the highly anticipated film The Girl on the Train based on the best-selling novel and stars Emily Blunt. Ben Affleck becomes a forensic accountant who the uncooks the books for elicit clients in The Accountant. Tom Cruise returns to star in the sequel Jack Reacher: Never Go Back and Ron Howard returns to direct the latest best-selling in Dan Brown's $1 billion series Inferno. Then we kick off the holiday season with Marvel's Doctor Strange starring Benedict Cumberbatch. From DreamWorks comes the smart animated comedy Trolls. Harry Potter fans anxiously await the prequel to the popular franchise Fantastic Beasts and Where to Find Them. Then on November 25, we have Moana, a Disney animated fairy tale set in the South Pacific, featuring a headstrong young heroine and based on an ancient Polynesian legend. In December, we have the first stand-alone Star Wars film with Rogue One: A Star Wars Story, the adventure sci-fi film Passengers starring Jennifer Lawrence and Chris Pratt. Then in Assassin's Creed, we follow a captured bartender who comes from a long line of assassins. This one stars Michael Fassbender and Marion Cotillard. Finally, from the studio that brought us Despicable Me, we have the animated comedy Sing, which is sure to delight families and those young at heart just in time for the holidays. As you can see, the film slate looks promising for the remainder of 2016, and we are encouraged by an exciting film slate for 2017. As previously mentioned, we continue to execute our diversification strategy. In the fourth quarter, we will start to see revenue contributions from The Rec Room, and we see significant growth opportunities as we expand this new business model. In addition, we believe there are continued growth opportunities within our other new businesses, including CDM, CSI, and WorldGaming through organic growth, strategic acquisitions, and an expanded client base in the US. Our constant focus on value creation and a diversified business model will result in a stronger Cineplex as we build this Company for the future. With that, I'll turn the call over to Gord.
Gord Nelson: Thanks, Ellis. I am pleased to present the second-quarter financial results for Cineplex Inc. For your further reference, our financial statements and MD&A have been filed on SEDAR this morning and are also available on our Investor Relations website at Cineplex.com. For the second quarter, total revenue decreased by 2.2% to $338 million and adjusted EBITDA decreased by 34.5% to $42.8 million. The results for the quarter were negatively impacted by a 14.4% decline in attendance due to weak film product, as compared to the record second quarter in the prior year, and expenses arising from Cineplex's diversification into emerging businesses. Also impacting our top-line results is the consolidation of Cineplex Starburst Inc, which was equity accounted for in the prior year. Cineplex's second-quarter box office revenue decreased 12.9% to $162.1 million, compared to $186.2 million in the prior year, as a result of an attendance decrease of 14.4%, partially offset by a BPP increase of 1.8% to $9.62 from $9.45 in 2015. The increase in BPP is due to an increase in the premium product percentage in the second quarter, increasing to a quarterly record of 50.4% of box office revenue in 2016 from 46.3% in 2015. The impact of premium priced product on the average ticket price was $1.38 for this quarter as compared to $1.10 in the prior year, primarily due to the success of the 3D product, with all of the top five films in 2016 being released in 3D, as compared to four films in the prior year. Food service revenue decreased 10.7% to $96.8 million as a result of the lower attendance, partially offset by a 4.4% increase in concession revenue per patron to $5.74, an all-time quarterly record. The CPP growth was primarily a result of higher average transaction values as a result of expanded offerings, targeted premium core concession offerings, merchandise programs, and increased penetration and visitation to Outtakes and VIP Cinemas. Total media revenue increased $5.2 million, or 14.8%, to $40.2 million for the quarter. Cineplex Media revenue, which is primarily theatre-based, increased 3.6%. Cineplex Digital Media revenue increased 43.8% due to increased project revenue for recently announced new clients, including A&W and American Dairy Queen, and growth in existing and new business opportunities, including advertising revenue from the TimsTV network deployment and the Oxford Properties Group digital installations. During the quarter, Cineplex Digital Media was selected by The Beer Store to create digital and interactive displays for their locations. With the acquisition of the remaining 50% of the equity of CSI on October 1, 2015, we began consolidating their results during the fourth quarter of 2015. Other revenue includes $22.2 million of gaming revenue arising as a result of the consolidation of CSI's results. Turning briefly to our key expense line items, film costs for the quarter came in at 55.9% of box office revenue, as compared to 54.9% reported in the prior year. The increase in the film cost percentage is the result of the continued concentration of box office revenue from a select number of titles during the quarter. Cost of food service for Q2 2016 was 22.3%, as compared to 22.1% in the prior year, as a result of the mix of food offerings, including VIP offerings. Other cost of $183.3 million increased $28 million, or 18%. Other costs include theatre occupancy expenses, other operating expenses, and general and administrative expenses. Theatre occupancy expenses were $50.6 million for the quarter versus a prior-year actual of $50.5 million. Other operating expenses were $114.4 million for the quarter versus a prior-year actual of $89.2 million, an increase of $25.2 million. Major reasons for the increase include an increase of $19.6 million due to the consolidation of CSI, an increase of $0.6 million due to the impact of new and acquired theatres net of disposed theatres, higher media expenses of $3 million due to the higher business volumes, and costs related to new businesses, including the WorldGaming Network and The Rec Room. G&A expenses were $18.3 million for the quarter, which was $2.7 million higher than the prior year, due in part to higher LTIP expenses and higher head office payroll expenses. Interest expense of $4.9 million was your $0.6 million lower than the prior year amount of $5.5 million. Contributing to the decrease was a $0.7 million decrease in non-cash interest, mainly as a result of the full accretion of the EK3 earnout in 2015, offset by higher cash interest, mainly due to higher average borrowings. The Company recorded tax expense of $4.7 million during the second quarter of 2016, comprised substantially of current tax expense. Our blended federal and provincial statutory tax rate currently is 26.8%. Net CapEx for the second quarter was $16.4 million as compared to $20.4 million in the prior year. We continue to estimate that net CapEx will be approximately $100 million for 2016. While box office results for the second quarter were softer than expected and greatly affected our overall results for the quarter, on a year-to-date basis, our box office revenue is up 3.7%. We continue to remain comfortable with where Cineplex Inc is positioned today. Our strong balance sheet and low leverage ratio allows us to continue to invest in future growth opportunities for the Company and benefit from future strong film product. That concludes our remarks for this morning and we'd now like to turn the call over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] Your first question will come from the line of Paul Steep of Scotia Capital. Please go ahead.
Paul Steep: Great, thanks. Gord, could you maybe talk just a little bit about the trending on film cost and what we've seen over the past few quarters, given that it moves around quarter to quarter? But has there been a trend towards higher concentration amongst the providers that are moving the numbers?
Ellis Jacob: Paul, I'll take that question and you are correct. What is happening is there is a continued concentration at the box office amongst a few titles. The big films are getting bigger, and the lows are getting lower, so you end up with the slanting towards the larger films, which result in the higher film cost, but that can vary from quarter to quarter, depending on the film slate. I actually looked back for the last five years and looked at the $70 million to $100 million movies and back in 2011 they made up 22 movies in total; this year, there were only five so far. So you could see that the movies are either the $300 million-plus movies or they are the lower movies that don't have a huge impact.
Paul Steep: Just related to that, Ellis, there's been no other change, it's just strictly the nature of the business, but no other changes by the studio to try to change the rate or anything like that?
Ellis Jacob: No our deals with the studios are pretty much the same.
Paul Steep: All right, perfect. The other one I wanted to follow-up on was, you highlighted in your prepared comments about eSports. Maybe you could talk a little bit about the line-up. Should we really be looking to that first team-based game in Q3 as really the first good trial and maybe talk a little bit about what you learned so far out of the first one? Thanks.
Gord Nelson: I'll get that. Paul, it is Gord. I would say 2016 is a year where we are building this business and we are experimenting with different types of games and events that are occurring in the theatres. Primarily to date, we have been focused in the first two quarters on console-based single-player games. Third quarter is our first console-based multi-player game. So as we grow out into next year, what you'll also see is PC-based, team-based games also. So we are building out and really testing the technology and the operations of each of these different types of events as we look to build a more scheduled event into 2017 and beyond.
Paul Steep: Okay. Thank you.
Operator: And your next question will come from the line of Derek Lessard of TD Securities. Please go ahead
Derek Lessard: Good morning, everybody. I was just wondering if you are able to quantify the impact of the Easter shift on the box office? And maybe for Ellis, if we can get your view on some of the films that didn't work this quarter and maybe some thoughts on the franchises like X-Men that are several iterations in?
Ellis Jacob: The first part -- I didn't hear the question, but was it to do with Easter?
Derek Lessard: Yes, in the MD&A you mentioned --?
Ellis Jacob: That's because the holiday fell in a different quarter from year-to-year, that impacted our results because you got that extra holiday period, which drives the box office. And people are off and there is a higher tendency to go to the movies. For 2015, as we mentioned in the script, we had three of the highest grossing movies of all-time so it was a pretty hard follow-up in 2016. But movies like Alice Through the Looking Glass, the Ninja Turtles, all of those movies, The Shallows, didn't really work in the second quarter. That resulted in a lower comp compared to the previous year. The other thing we saw is that, in the second quarter, you had a movie like Finding Dory, which opened on June 17, and those kid pictures tend to do a little bit less on a percentage basis compared to our US peers. Secondly, our schools don't close up till June 25, whereas the US schools close up a lot earlier in the month of June, so we see that variation from there to here.
Derek Lessard: Okay. Thanks for that. And maybe just also in your prepared comments, you talked about the start-up cost of new business, you touched upon some of them. I was just wondering if you can maybe add a little bit more color there in terms of what we should expect in terms of expenses maybe as a percentage of revenues going forward?
Gord Nelson: Sure. It's Gord here. In the MD&A, we talked a little bit about it in our other operating expense discussion on start-up costs, primarily related to our entry into the amusement, gaming, and leisure space, which would include both The Rec Room and the eSports initiatives. In the quarter, we identified those amounts as roughly $3 million during the quarter. Obviously, as we move into Q3, we will open the first Rec Room in Edmonton, and so we will start showing the revenues related to them, but there have been some start-up costs related to both eSports and The Rec Room.
Derek Lessard: Okay. Thank you, thanks for that.
Operator: And your next question will come from the line of Adam Shine of National Bank Financial. Please go ahead.
Adam Shine: Thanks a lot, good morning. Ellis, we know you don't have much of an acquisition appetite on the theatre front outside of Canada. You've been pretty clear about that. But maybe you could just talk a little bit about what we are seeing in terms of AMC's appetite, and broadly speaking, one particular player getting very large in the marketplace. So thoughts on that? And also maybe cycling back to one of the questions at the outset, in terms of any implications coming from that one bigger and larger player, as it might relate to how studios may adjust film costs or other related issues in the marketplace?
Ellis Jacob: Adam, I can't speak for AMC because they have got their own focus and decisions to be made. And Wanda has publicly stated they want to look at owning 25% of the world box office and AMC is part of the Wanda Group. As you have seen and I've seen publicly, is they are on the hunt for locations. They acquired the Odeon chain, which the deal hasn't closed and they have also got the Carmike Theatres. From a film cost perspective, one has to look at every company negotiates independently. That's a situation of a relationship between the studio and the companies, and it varies by country, by location, and it's something that is basically between the two parties.
Adam Shine: Okay, fair enough. If we go back to one of the earlier questions relating to film costs, we did see a relatively lower concentration in the top two or three films of this quarter versus last quarter. Maybe there were some other moving pieces but do we really just chalk it up to a Disney trifecta, in terms of the top three films, and maybe that is ultimately the key driver of that skew year-over-year?
Ellis Jacob: No, as I said, and you are right because the concentration had an impact, but another reason the year-over-year, where you see ours went up and a lot of the peers were about the same or went up slightly or down slightly, there are a number of films that played in the US that didn't play in Canada. This happens and this particular quarter, the box office from these films were double what they were in 2016. In 2016, we had double the revenue coming into those US players. We didn't have the same revenues and they come with much lower film costs because they are usually movies that, in some cases, open in the US and they just send them right through to DVD and EST in Canada. The second area was our Canadian distributors who usually release singles and doubles, and they had a very weak quarter, hurting our film averages as these films usually offset those high-priced home runs. So those are variances that change from quarter-to-quarter, but that is part of the reason you see that difference.
Adam Shine: Great. I appreciate that Ellis. Maybe a last one. You went through a slew of initiatives that you have underway and there are certainly a lot of them. One item that continues to be asked of you is just some of the work that you are doing, maybe on a more beta testing basis in regards to pricing, dynamic or otherwise. Any update there in terms of thought strategy?
Ellis Jacob: We have, as you saw, we had the highest percentage of premium offerings this quarter, and if you compare us to our peers, all of the major peers in the US actually saw a decline year-over-year, quarter-to-quarter, whereas we had an increase to reach a record level. So our focus is we continue to look at pricing, but it's all about what we offer the guest and we have continued to try and improve that offer on an ongoing basis. As part of that, we have been able to get higher BPPs from our guests. That's not to say, given our cost structures and what is going on with minimum wage, that we won't continue to look at pricing as a driver into the future.
Adam Shine: Okay, great, thanks a lot.
Ellis Jacob: Thank you.
Operator: And your next question will come from the line of Rob Goff of Echelon Wealth Partners. Please go ahead.
Rob Goff: Good morning. Thank you very much for taking my question. Actually, two questions, if I may. The first one would be back on the film costs. Is there any core relation between those films that do particularly well on the premium services and perhaps a higher film component? And then my second question would be further on the eSports and your emerging view there, in terms of is the opportunity more towards online versus in theater? And perhaps any international discussions you are having there?
Ellis Jacob: I will do the film costs and leave the eSports to Gord. But on the film cost question, what happens is with these premium offerings, of course, the box office goes up and it is based on a percentage of the overall revenue, so that is the result and higher costs is the result of the premium offerings. But it is a percentage that we pay, so it is a royalty, so the larger the box office number, the higher the royalty percentage. That gives you an answer on that one and I will turn it over to Gord on the eSports side.
Gord Nelson: Thanks, Ellis. Rob, our key differentiator on the eSports is the ability to provide both location-based play and online-based play, and we will look to have the location-based play drive online and vice versa. One initiative that you may not be as familiar with in our eSports platform is actually our college league, so our Collegiate Starleague, which this will be our first college season, where we are actually in control of the WorldGaming asset. It's on over 450 campuses across North America, primarily online, but does include a culmination of a live competition so that is an exciting initiative for us, also one that is focused in the US. With respect to your question on other expansion and discussions, and those are still ongoing as we build out the model and the platform here, is ongoing dialogue with some of our peers globally to extend our business model.
Rob Goff: Okay, thank you.
Operator: And your next question will come from the line of Ben Mogil of Stifel. Please go ahead.
Ben Mogil: Hi, guys. Good morning and thanks for taking my question. Can you hear me okay?
Gord Nelson: Yes, hi Ben.
Ben Mogil: Hi, good morning. Thanks for taking my question. Ellis, you commented about the high films, the high point box office films, hitting highs and the lows hitting lows. It was certainly an interesting one, and that's been talked about a little bit as well by some of your peers. When you look at what is going on, is your view that the smaller ones are getting crowded out, people are spending for 3D and for IMAX and they're tapped out? Are the smaller films not able to spend the P&A they need to spent to get through the system? Curious your thoughts on that?
Ellis Jacob: That question is really a question, Ben, about content and the quality of the content and what people actually want to see. You look back, in the old days, you had movies like The Intern, Bridge of Spies, all of those kinds of movies that did pretty decent business in the $75 million to $100 million range. We aren't seeing as many of those and even the Woody Allen movie, it did okay, but not Woody Allen numbers of the past. So it's hard to tell whether it is the quality of the content or it is basically people doing alternative ways of watching movies. It's really driven by the content, as we saw in the fourth quarter of last year and the first quarter of this year, how people flocked to the cinemas based on the content that was playing. It varied all the way from action movies like Star Wars to kid’s features like Jungle Book and Finding Dory.
Ben Mogil: Okay, that's great. Thank you very much.
Ellis Jacob: Thanks.
Operator: And your next question will come from the line of Robert Peters of Credit Suisse. Please go ahead.
Robert Peters: Good morning. Thank you for taking my question. Just looking at CDN, I was wondering if you could provide us an update as to what inning you guys are in, in terms of the new screen installations? I also just wanted to confirm that you guys haven't started on the installations at DQ yet?
Gord Nelson: On the second part of your question, DQ, is yes, there has been the commencement of the installation of locations with DQ. In terms of the inning, with your reference on where we are, what we've said is we've opened an office in the US, we've announced a few new clients, and we are commencing roll-outs that could take place over a couple years. But we are also involved in a number of processes where we are very optimistic about where we expect the outcome may be, and we just have not announced those yet.
Robert Peters: Perfect. Thanks, Gord. Maybe just a follow-up to that. When you look at the higher installation revenue at the start of some of these contracts, in general, do think you are now at a critical mass, given that you have a number of these installations going on at the same time where, once you are done one, you will see the installations just ramp-up on the next contract? Or is there going to be any lull that we saw from when you got the Tim Hortons contract completed and then rolling out the next one?
Gord Nelson: In some ways, it is dependent on the way the brand or our customer is looking to install. Some customers, digital is a key element of their overall strategy and they want to deploy within a one-year period. Others take more of a multi-year approach, so each customer can be different. We ended up in the lull period that you are referencing because two of our customers at the time, both Tim Hortons and RBC, were very, very focused on deploying as quickly as possible, whereas others tend to deploy over longer periods of time. It's a difficult one to answer. It's based on the mix of the customers.
Robert Peters: Perfect. Thank you. If I can, one quick one for me, and then I will pass the line. On eSports, you've now had two titles go through your tournaments with Call of Duty and Street Fighter, and those are two different types of titles. Are you finding that there is any sensitivity around the titles, in terms of higher demand for a fighting game versus a first-person shooter such as Call of Duty, or is it good traction regardless of the title offered?
Gord Nelson: There is all kinds of stats out there on the popularity of various e-sports events, both from a viewer ship and a participation perspective. The first-person shooter and the multi-player games, it's primarily the multi-player games, honestly, are the ones that have the highest e-sports attraction. That's why when we get into 2017, you'll see us expand and look to deploy some of those titles as we move forward. So it's been a learning -- each title has been a little bit different but first-person shooter and multi-player games are obviously the top two ranked games in eSports.
Robert Peters: Great, thank you very much.
Operator: [Operator Instructions] And your next question will come from the line of Derek Lessard, of TD Securities. Please go ahead.
Derek Lessard: Thanks, guys. Maybe just some housekeeping. Back to the installs, Gord, do have the number of installs that are currently place on the digital media?
Gord Nelson: Yes. We are at roughly 10,600 locations.
Derek Lessard: Okay, and maybe just on depreciation, there was a bit of a jump this quarter. What should we be looking for going forward?
Gord Nelson: Part of what you are getting in terms of depreciation jump year-over-year is the CSI acquisition and additional amortization related to the assets we acquired on WorldGaming. So both of these, particularly WorldGaming, as a technology-based Company, so whenever we're buying something that has a little bit more technology in it, you've got a quicker amortization period.
Derek Lessard: Okay, thanks for that.
Operator: And your next question will come from the line of Drew McReynolds of RBC Capital Markets. Please go ahead.
Drew McReynolds: Yes. Thanks very much. Just a final one for me. Gord, last quarter you talked about Alberta being a minor headwind on the concessions side, but overall the business proving defensive. Just wondering if that continues to be the case, if you've noted any greater or less drag from Alberta. We certainly didn't see it in the concessions number I didn't think this quarter?
Gord Nelson: No, I'd say it's nothing really new from the perspective of Alberta. It's not growing as quickly as the rest of the country but still growing. No impact on the box office.
Drew McReynolds: Okay, thank you.
Operator: There are no further questions at this time. I'd like to hand it back over to Mr. Ellis Jacob for closing remarks.
Ellis Jacob: Thank you for joining us this morning. We hope to see many of you at the opening of our first location of The Rec Room in South Edmonton Common next month. We will speak with you again during our third-quarter conference call in early November. Enjoy the rest of the summer and take in a few movies.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect your lines.